Operator: Good afternoon ladies and gentlemen, and welcome to the TriplePoint Venture Growth Fourth Quarter and Fiscal Year 2014 Earnings Conference Call. At this time, all lines have been placed to listen-only. After the speaker's remarks, there will be a question-and-answer period and instructions will follow at that time. This conference call is being recorded and a replay of the call will be available as an audio webcast on the TriplePoint Venture Growth website. I would now like to turn over to Mr. Harold Zagunis, Chief Financial Officer at TriplePoint Venture Growth. Mr. Zagunis please go ahead.
Harold Zagunis: Thank you, Chris. And thank you everyone for joining us today. We're pleased to share with you the results of the fourth quarter 20014 and the 10-month period for our IPO on March 5th, 2014 through December 31st, 2014, which we refer to as fiscal year 2014. Here with me to discuss our results are Jim Labe, Chief Executive Officer and Chairman of the Board; and Sajal K Srivastava, President and Chief Investment Officer. Before I turn the call over to Jim, I would like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking statements. I'd remind you that during call, we will make certain statements that relate to future events or the company's future performance or financial condition, which may be considered forward-looking statements under federal securities law. We ask that you refer to our most recent filings with the Securities and Exchange Commission for important factors that could cause actual results to differ materially from these statements. With that, I'll turn it over to Jim.
James Labe: Thanks Harold, and welcome everyone. We had an exceptional fourth quarter. One highlight was achieving a weighted average portfolio yield of almost %16.9, one of the highest among all of the BDC's in the quarter. Another highlight was signing a $186 million worth of new term sheets. We also now already have five companies out of our 27 tech and life science portfolio companies overall who have graduated into the so-called Billion Dollar Club, companies that have closed private financing round in excess of a billion dollars. With all this as a preface, I'd like to take a step back and focus on the larger picture which is the highlights during fiscal 2014, which is what we consider to be the 10-month period from when we took the company public last March 14th, 2014 through the end of the year, December 31st. This is a period in which we actually increased the dividend twice and on top of that, also paid a special dividend of $0.15 per share in December. During this period, we achieved a whole school [ph] of milestones, which we believe demonstrate our unique center lending model and the underlying earnings power of this business. At the IPO, we acquired an initial portfolio consisting of a $123 million in investments with a yield on that portfolio of approximately 14.3% and another $153 million of unfunded commitments as part of that. Given our strong originations platform, during this period, we closed an additional $270 million of investments to 15 customers, of which $160 million has been funded so far. These additional investments have added to the portfolio yield and brought it up to 14.5% ignoring any prepayment activity. In the fourth quarter, we had two customers prepaying. As a result, that boosted the overall portfolio yield up to 16.9%. During the period, we generated almost $13 of net investment income and on top of that given the strong underlying credit performance and follow-on equity activity of our customers, we recognized another $1.5 million of unrealized gains, resulting overall in more than $14 million of net increase in net assets from operations. In total, we paid out more than $12 million in dividends including our regular and special dividends. We also generated another $1.2 million of taxable income in excess of those dividends paid and that will spill over into 2015. Our NAV also increased from $14.38 at the IPO up to $14.61 as of December 31st and that even after the dividend payments of roughly $1.22 per share. Also last but not least, during that period, we up the credit facility by another $50 million. It now stands at $200 million in total and we've begun the process of increasing our credit lines even further. Well, I've always said this is a long-term business. In this short 10-month period alone, we believe we demonstrated not only the uniqueness of our venture growth lending approach and the underlying earnings power to business model, but also the value of our significant experience in venture lending, our strong brand in the market, and our disciplined approach to venture lending. I'd mention that an exciting and important part of the venture growth business is a warrant kicker and the equity component. As of year's end, we have warrants in 26 companies and equity investments in four. We're looking forward to showing the return potential of this portion of the business in 2015 as some of our portfolio of companies continue to pursue M&A and IPO activities. In fact one company has recently filed confidentially for its IPO. A few weeks ago The Wall Street Journal published the list of venture-back companies that we valued at billion or more -- the Billion Dollar Club if you will. We would like to extend congratulations to four of our portfolio companies that are on that lists, Nutanix, mongoDB, Shazam and InMobi. It’s a testament to the creativity and hard work of these teams at these companies. Also as you may have seen last week, our portfolio company Simplivity announced that they had just raised a $150 million of equity capital that was at a billion dollar valuation. Our congratulations goes to the Simplivity team as well and their entry into the Billion Dollar Club. As we look at into 2015, we're pleased with the strong level of activity from our select venture capital investors and the strong demand in return potential for venture growth states lending. We intend to continue capitalizing on this demand and grow our business with continued attractive returns. I'll finish by saying this; we're delivering on the promise of building our venture growth franchise and growing our portfolio in measured and profitable fashion. As always we remain disciplined and focused on what matters to us most, what we keeping calling the four Rs, reputation, relationships, references, and of course, returns. I'd like to turn the call over now to Sajal who will provide you with more detail about our fourth quarter portfolio composition and investment activity.
Sajal Srivastava: Thanks Jim and good afternoon everyone. As results indicate we had a great fourth quarter, capping an overall strong first fiscal year as a publically traded company. During the quarter, TriplePoint Capital signed $186 million of term sheet, and we entered into $147.5 million of new debt commitments with six course. We funded seven debt investments for $40.5 million and acquired warrant valued at $1 million in seven companies. The $40.5 million of debt investments funded in the fourth quarter had a weighted average yield of approximately 14.7%. Of the loans funded in the quarter, approximately 62% were floating rate loans with floors. Two of our customers prepaid their outstanding loans totaling $27.7 million. As Harold will discuss in more detail, these prepayments helped boost our total weighted average portfolio yield to impressive 16.9% for the quarter. With regards to unfunded commitments, in Q4, we had $34 million of unfunded commitments expire unutilized and/or terminated, added $147.5 million of new unfunded commitments and funded $40.5 million of investments, leaving us with $211 million of unfunded commitments as of December 31st. Based on fundings and terminations so far in Q1, our unfunded commitments are down to $166 million as of today. Of the $211 million of unfunded commitments as of December 31st, $40.5 million are subject to milestones before the debt becomes available. $103.5 million will expire during 2015 and $107.5 million will expire during 2016. Since these commitments may expire without being drawn upon, unfunded commitments do not necessarily represent future ash requirements or future earnings assets for the company. Over time, we generally expect about 75% of our gross unfunded commitments to eventually be drawn. However, as we look at to our existing unfunded commitments, based on recent equity financing activity, there are a number of companies with meaningful amounts of current liquidity which we expect may result in either higher percentage of unfunded commitments, delays in draw towards the end of their availability period or request to extend draw periods to give them more time to decide whether to their loan with us. Regarding credit quality, as of December 31st, the weighted average internal credit rating of the Debt Investment Portfolio was 2.06 compared to 1.97 at the end of the prior quarter. As a reminder, under our rating system loans are rated one to five with one being the strongest credit rating and our new loans initially rated at two. During the quarter, one of our category 1 customers paid off its 5 million of loans, one of our category 2 customers paid off its 22.7 million of loans and we funded 40.5 million of new loans to seven obligors which were added to category 2. We also downgraded one customer with 15 million in loans outstanding from category 2 two category 3. During Q1 we have further downgraded this customer, Coraid to category five, a non-accrual status. However, a third-party has entered into a term sheet that provides for it to purchase certain assets of the company and to a assume our loans to the company. With regards to other key indicators of portfolio health and quality, as at December 31st, the weighted loan to enterprise value at the time of origination for our portfolio was approximately 9.1%, not a meaningful change from the end of Q3 and well below our general guideline of 25%. We also had six customers close follow on equity rounds during the quarter. While not all of our companies need additional equity capital, we generally view our customers doing so as a positive indicator and it typically improves their financial profile with the additional liquidity to service our debt and/or get them to an exit event. As we look to 2015, TriplePoint Capital has signed 40 million of additional term sheets, we have funded 10.2 million of investments and a customer prepaid one of its outstanding loans. We'd remind investors that not all signed term sheets will necessarily close nor will they necessarily be assigned to us, and the timing of draws and unfunded commitments maybe late in the quarter or slip to future quarters. As a reminder for our Adviser's Allocation Policy, while we are the primary vehicle for committing and funding venture growth stage assets for TriplePoint Capital, during periods when we don’t have sufficient investment capacity, TriplePoint Capital will serve the investment vehicle for new investments. In summary, we are very pleased with the growth and performance of our portfolio, not only during the quarter, but for the 10-month period since our IPO. We will remain optimistic for the near-term growth given our creative and relationship focused approach to lending and we look forward to continuing to be able to deliver exception returns in a disciplined fashion to our investors. With that I will now turn the call back over to Harold.
Harold Zagunis: Thanks Sajal. I would like to spend a minute reviewing the highlights from the fourth quarter and give you a quick overview of our financial position. Our total investment and other income for the fourth quarter was $10.7 million, representing a weighted average portfolio yield of 16.9% on our investments for the period held. Of that 16.9% yield, 11.1% was from cash coupon payments, 0.4% was from the original issue discount of upfront facility fees and warrants, 3% was from the accretion of end of term payments and 2.4% was from the impact of prepayments. Excluding the impact of prepayments, the weighted average portfolio yield for the quarter was 14.5% which was consistent with the weighted average portfolio yield for the previous quarter. Our expenses this quarter were $4.8 million compared to $4.3 million from the prior quarter due to increases in our assets, greater profitability and increased leverage, more specifically our base management fee was $1.1 million, which increased in line with our gross assets. Our incentive fee was $1.4 million which increased as a result of a greater profitability. Our debt expenses increased to $1.6 million as our average borrowings for the quarter were approximately $114,000, up from an average of $90 million last quarter. Our administrative and general expenses remained steady at $1 million quarter-over-quarter. We recorded net investment income of approximately $5.9 million or $0.59 per share. Excluding the impact of a reversal of our capital gain incentive fee of $216,000, our core net investment income was $5.6 million or $0.57 per share in the fourth quarter. This compares to $3.8 million or $0.38 per share in the third quarter. Core net investment income is a non-GAAP financial measure. For reconciliation of core net investment income to net investment income, please see the press release we issued earlier today. We believe core net investment income is an important measure of the investment income that we will be required to distribute each year since capital gains incentive fees are accrued based on unrealized gains, but are not earned until realized gains occur. Our loan fundings were little more evenly distributed throughout the quarter than in past quarters, this quarter approximately 31% funded in October, 25% in November and 44% in December. Keep in mind we won't see a full earnings contribution from these assets until subsequent quarters. In the fourth quarter we had a net unrealized loss of our investments of $1.1 million or $0.11 per share. This is consisted of $700,000 for the reversal of unrealized gains that we recognize in this third quarter related to prepayments and termination of unfunded commitments, as in the third quarter one of our customers provided formal notice of prepayment for the fourth quarter. This reversal of asset by the recognition of $700,000 of investment in other income in the fourth quarter, as a result of the actual prepayment and termination of unfunded commitments. In other words there was no net impact to our net change to net assets in the fourth quarter from this specific obligor’s prepayment as it was already recognized in our third quarter results on an unrealized basis. We generally expect companies to notify us and prepay us in the same quarter so that any impact of prepayments would be recognized in the quarter they occur. As happened with the other obligor who prepaid its loans to us in the fourth quarter. We also had a $300,000 net reduction in the fair value of our debt investments related to changes in discount rates and $37,000 net reduction related to the fair value awards. We had no realized gains or losses during the period. Our net increase to net assets resulting from operations for the fourth quarter was $4.8 million or $0.48 per share compared to $4.7 million or $0.47 per share for the third quarter. On an annualized return basis, our net increase to net assets this quarter represented a 13% return on our average net assets. Our core investment income was 5.3% on average net assets and our net investment income was 15.9% on average net assets. As of December 31st, we had 76 investments in 27 companies. Our investments included 46 debt investments 26 warrant investments and 4 direct equity investments. The total cost and fair value of these investments were approximately $256.5 million and $258 million. As of December 31st, the company’s net asset value was approximately $145 million or $14.61 per share, down slightly from the $14.64 per share at the end of the last quarter, the decrease as a result of our regular special dividend payments exceeding the net change in net assets for the quarter. As Jim mentioned, from March 5th the date of our IPO through December 31st, we paid $12 million of dividend or $22 per share. This amount included our prorated regular dividend for our first quarter which was for 27 days given our IPO on March 5th and also included a special dividend for fourth quarter. We also had excess taxable income of $1.2 million which will be carried forward in the form of distributions paid in 2015. Based on the approximately 9.9 million shares outstanding as of December 31st, the spillover is equal to $0.12 per share. Our total cash position was $14.9 million at quarter’s end with available capacity of $82 million under our credit facility. As of yearend, our leverage ratio was 0.81 times which is in line with our targeted leverage. Finally, our Board of Directors declared a dividend of $0.36 per share for the first quarter of 2015 payable on April 16th to stockholders of record as of March 26th. As previously mentioned $1.2 million or $0.12 per share based on the shares outstanding as of December 31st will consist of spillover income from 2014. With that I will turn the call back over to Jim.
James Labe: Thanks gain Harold. At this point we will be happy to take your questions. Operator can you please open up the line?
Operator: [Operator Instructions] And your first question is from Doug Harter with Credit Suisse. Your line is open.
Douglas Harter: Thanks. Obviously the prepaid income delivered the big upside. Is there any way to think about kind of what is a normal quarter going forward in terms of prepaid activity and how we should think about that going forward?
Sajal Srivastava: Hi, Doug. This is Sajal here. Yeah, I would say we look at it based on known events and known activity when it comes to prepays. So we've already had one prepay so far here in Q1. We don’t think it’s unreasonable to expect at least one prepay a quarter, just given as the portfolio is maturing and the portfolio of the companies raise additional capital be it in the form of equity rounds or potential exit events.
Douglas Harter: Got it. Is there any way you could help size what the prepay and the magnitude of that prepay was so far in the first quarter?
Sajal Srivastava: It was a small one, 2.5 million.
Douglas Harter: Got it. And then if you could just talk a little bit more about the loan, the one on non-accrual subsequent to quarter end. I noticed that some of the assets are being purchased. I guess, kind of, where do you have that loan marked in, what are your expectations for recovery?
Sajal Srivastava: Sure. So this was a recent development and clearly a situation we’re working through in real-time. So at this point we can say we are making progress and all the parties are engaged. But this was a company in the data storage industry. It raised about 100 million of equity capital. And so as we mentioned earlier a third party has entered into term sheet that provides for it to purchase certain assets of the company and to assume our loans. We will have more to say as the process moves on. But we did mark it down from -- in Q4 from category white to yellow and then in Q1 we again marked it down to category 5.
Douglas Harter: Great. Thanks Sajal.
Operator: Your next question is from Jordan Hymowitz with Philadelphia Financial. Your line is open.
Jordan Hymowitz: Hey guys. Just to follow the couple of Doug’s questions. So of that 24.6 million how much would that loan have been that got moved from yellow to red and then is now being bought?
Sajal Srivastava: I'm sorry the Coraid loan?
Harold Zagunis: How much is -- 15 million is the Coraid loan.
Sajal Srivastava: Sorry Jordan, we didn’t have 24.6 moved we only had 15…
Jordan Hymowitz: That was my question.
Sajal Srivastava: The other 9 was already in there.
Jordan Hymowitz: Okay. So if we would sit here today and nothing else has changed, that number would be about 10 million in yellow?
Sajal Srivastava: Correct.
Jordan Hymowitz: Okay. My second question, again, following Doug’s very good questions is, you expect to have one loan prepay on average this year for quarter, it doesn’t mean every quarter there will be one, I understand that. And you said this -- one this quarter was a smaller 2.5 million. Is there some -- if this quarter it provided approximately $0.20 of upside would it be fair to think that there would be $0.10 on average of prepay upside for quarter if there was one loan or two loans this quarter bigger than average, that's where I'm trying to get at.
Harold Zagunis: Unfortunately you can't interpolate that way. The amount of income that we generate on prepayments depends on every loans specific factors and where they are processed, they prepay, if they prepay early, there is more upside certainly early in their term. So unfortunately I don’t think you can draw that conclusion.
Jordan Hymowitz: With two loans that prepaid this quarter, where they approximately average in their lifetime and size, where they bigger, smaller…?
Harold Zagunis: No, only one loan is prepaid and it was $2.5 million.
Jordan Hymowitz: No, no in the fourth quarter, sorry.
Harold Zagunis: I'm sorry in Q1. Are you talking Q4?
Jordan Hymowitz: Right. You had two loans prepay where they about midway through their life, where they earlier, late, or where they bigger, smaller?
Harold Zagunis: … been around for 10 months. They are all very early in their term.
Jordan Hymowitz: Okay. So they may be somewhat representative of the average loan prepaying?
Harold Zagunis: Yes.
Jordan Hymowitz: Okay. Thank you very much and congratulations on a good quarter.
Harold Zagunis: Thank you.
Sajal Srivastava: Thanks.
Operator: [Operator Instructions] Your next question is from Jonathan Bock with Wells Fargo Securities. Your line is open.
Jonathan Bock: Good afternoon and thank you for taking my questions and I reiterate Mr. Hymowitz’s congratulations. So if we take a look, obviously InMobi was one of the pre-payers in the quarter and we see the inclusion in the $1 billion club, I'm curious, Jim, Sajal, how would you kind of rate the probability of repayment to the extent someone falls and in such a high valuation category -- higher, average or lower?
Sajal Srivastava: I would say it’s -- generally speaking it’s more of a function of how much equity capital that company raises in conjunction with the round of financing then necessarily what their valuation is. Because, obviously, the more liquidity the company has, the more cash -- excess cash they have sitting in a bank account, earning no interest, the more likely that they would be willing or motivate to prepay our debt outstanding. So I would say it’s more likely to excess cash reserves than it is to necessarily enterprise valuation.
James Labe: I would echo that. There is no real rule of sum you have to do usually with the capital planning and strategy on an individual basis at these companies.
Jonathan Bock: Then maybe rephrasing the question, how would you look at the liquidity situation or the cash balances on hand at companies generally looking at those levels, high, average or low?
Sajal Srivastava: So I would say not just with our $1 billion of portfolio companies, but in Q4, John, we had six companies close follow on rounds of financing and in Q1 so far we've had four companies close follow on rounds of equity financing and so there are 10 companies right there with fair amounts of liquidity. Now, not all those companies have debt outstanding, and so to the extent those that have raised significantly large rounds of financing, then we would argue there is probably a higher than likely chance of them prepaying. And then the other impact, as we talked about earlier with regards to existing unfunded commitment that those companies that are awash in liquidity, may not draw in their unfunded commitments or may take it to the end of their availability periods before they draw or may ask us to extend their availability periods to give them more time to draw in our debt.
Jonathan Bock: Got it. And then maybe taking -- just words might question to the slight non-accrual I understand that you worked that through. But when you say that they’ve assumed your loan, are they assuming it at your fair value mark or are they assuming it at cost or par?
Sajal Srivastava: Yeah, no, this is all kind of all working through real-time. And so I think as the situation develops we will have more to say, John, on the process. But it’s still early on in the process.
Jonathan Bock: Okay. One item just it kind of brings up, because we see an EOT and term payment there in excess of six and this kind of creates a good discussion between first lien venture asset versus a lien, but perhaps maybe behind a venture back which I guess in this case there might be another creditor ahead of you guys. Maybe I'm right or not, I don’t know. But the question is, obviously your loan to enterprise value, we get that, but is there a level of -- or how does one kind of get around the level of risk to the extent you are subordinated to a venture back and then maybe talking about it and loosely using color from this situation as to how you protect investor principle knowing that venturing lending is not -- it’s not always homerun. It’s just a matter of a steady, consistent performance. That second lien discussion would be very helpful to us.
James Labe: Good question. So I would say -- so with regards to the one specific credit. We are the senior creditor. There is no other debt financing or debt provider in place. I would say as we look generally to our “second lien” where we are junior to -- only to a venture bank, our underwriting guidelines are generally that these have to be more robust companies with significant enterprise. We have to have very low loan to values for those companies and they have to have material and significant revenue and revenue growth. And so, again, generally speaking, I think we were at 20% for the quarter in terms of those companies where there was a bank facility ahead of us as of the end of Q4. And if you look the majority are those 20% of companies where -- are probably some of the much larger from an enterprise or from a revenue perspective within the portfolio.
Jonathan Bock: Okay. Got it. And I guess the last question would be, if we’re looking at the ability to fund investments in the future, obviously with repayments and earnings on the rise, anything that you are looking at is potentially accretive. But giving us a sense as to how you look at equity capital in this environment and if you were looking at an opportunity what goes in your mind in terms of how one is going to generate an adequate risk adjusted return on capital that you may be given in the future provided that the valuation works out. And would you have any intention to rise below book value, that's always a good question that people want to know.
Sajal Srivastava: Yeah. I think I will start first. We think that 14.5% portfolio yield just without any impact of prepayments, the 16.9% as of the end of Q4 with the impact of prepayments, we think is exceptional return on its own. And so it sort of justifies our ability to continue to deploy capital, particularly given the quality of investments and the strength of the pipeline that we see and the demand from the venture growth stage looking for debt from us and so I think based on the guidance we've given, we see the opportunity to continue to grow, obviously we need to live within our means, but we see the opportunity to continue to deploy investor capital and make exceptional returns associated with that. You were correct to point out we do not have investor approval to raise capital below NAV and so from our perspective, we're living within our means, we're looking in opportunistically at quality, at venture growth stage assets, but we also have the benefit of the TriplePoint Capital platform and so that's why we continue to be originating venture growth stage assets with great companies because we're continuing to be in market with our platform.
Jonathan Bock: And then Jim, Sajal just an industry-wide question. As it relates to consolidation of venture banks et cetera, it would appear that given levered lending guidance and potential constraints that are put on the banks that venture lending provided it's not looked at from ABL perspective and perhaps even if it is, if it's categorized as an HLT could be constrained, but that kind of creates financing for venture assets that I would imagine probably would be a little cheaper from a spread standpoint that you would perhaps want to put in this portfolio or not. The question is are there growing opportunities for people that have a wide origination funnel such as yourself and is that consolidation kind of net accruing to your benefit over time?
James Labe: I'll take the first stab, we really see this -- the various consolidations and things going on some which I'll put in little bit as a havoc category as being a net plus to our business. The things and what's going on there presently, those have worked with venture companies, that doesn’t really affect our business, it never really has affected our business as we're in the non-bank category and it's still not clear where the fallout will be from some of the various acquisitions at these venture-oriented banks. Some have kind of moved in and out a little bit here. So, long-term, I think this is a net plus to our category. In the short-term, we really worked with all of these things and have worked with them and complimentary financings to them as opposed to having some kind of material effect on our business I believe.
Sajal Srivastava: And I would only add John that our business is not providing bank financing and so we don't necessarily view this as an opportunity for us to provide lower yielding assets, because there are fewer banks out there to necessarily provide that bank-type financing. I think again, we're very return-focused, very asset quality-focused and so I don't think from our perspective, you'd see us kind of starting to originate bank-type assets and bringing our overall yield profile down. Just because we enough quality opportunities with our target profile, with our target return profile, risk profile, and credit profile that we don't need to dip into bank-type deals.
Jonathan Bock: Sounds good. Guys congratulations. Thank you.
Operator: Your next question is from Matthew Howlett from UBS. Your line is open.
Matthew Howlett: Hey guys. Thanks for taking my question, and congrats. Just as a new and young company like yourself, I want to turnover over few questions, do we tip the go for other BDC first, SPIC where are you with that process on giving the license. Two, securitization, something that BDC has utilized whether or not you'd be open for that in terms of expanding your funding or using an alternative funding source. And then three, this 30% basket, non-qualified BDCs typically have some plan to utilize that. May be can you go over those three points on where you guys are planning here on the early stages.
Harold Zagunis: As you said, -- this is Harold, thank you Matt. The -- we're in the early stages, we're looking at all alternatives embracing, having access to others forms a deck including SBIC and securitization. We're in the process of those applications and looking at -- talking to other parties about securitization. At the appropriate time we will roll those out. The 30 -- we're focused on our business. We think that we do is appropriate. We know what we're doing and we do it well and don't need to focus on a 30% bucket, because all the loan that we originate are for the most part qualify within the good asset bucket.
James Labe: Yeah. I think the only think we occasionally provide equipment lease financing into the extent of that NAV -- to the extent of the [indiscernible] fall into the 30% bucket, but otherwise, generally Matt, everything else that we do falls outside of that 30% bucket.
Matthew Howlett: Now, when you talk about U.S. pricing, but that -- is that -- I mean are the assets qualified in terms of what you've done today?
James Labe: Correct. Of the assets that we originate qualify for SBIC. We believe they qualify and we're in the process of completing that process.
Matthew Howlett: All right. Presumably they will be attractive financing.
James Labe: Absolutely yes. I mean there are other venture lenders that have pursued the financing both the SBIC and unsecuritization and so there's no doubt that there is a precedent for that. So, it's something that's in process for us.
Matthew Howlett: Great guys. And then what unique to your situation is clearly the participation with warrant. I mean listening to prepared remarks, it's great to see the portfolio moving -- good part of the portfolio moving towards some -- potentially some liquidation. I mean how -- as analysts and investors, we're not new to seeing this, it's hard to I'll sweep a date [ph], we watched the NASDAQ and we do different things, but what would you suggest in terms of marching about what can we -- could we presume that would be paid out, that capital -- I think gains will be paid out as special dividends like you guys have been doing, is that just a reoccurring part of the model that we get used to? How should we think about that as we get used to your company?
Harold Zagunis: First of all, just to clarify, our special dividend from last year, none of that was from any exit event or none of that was capital gain.
Matthew Howlett: Right.
Harold Zagunis: That was all from ordinary income.
Matthew Howlett: Got you.
Harold Zagunis: So, going forward, our plan is to distribute any capital gains income as they happen.
Sajal Srivastava: As a special dividend
Harold Zagunis: As a special dividend. In terms of -- I'll hand it over to Sajal to talk about how to monitor.
Sajal Srivastava: Yeah, I mean I think -- Matt, I think it's hard to predict when exit events happen and then obviously for those publically-traded companies, you're generally subject to a lock-up period and so there's a time period between when the event occurs and when the actual liquidation occurs and our thesis is to liquidate as quickly as possible after an event. So, I would say we're in the early innings, but we've got some guys on base and the pitch count in our favor, so we're optimistic for seeing some runs this year.
Matthew Howlett: So, in other words if I been to list 180 days lock-up -- typical lock-up, we can follow the ticker, we can do that and kind of figure out what component specially be the proceeds and that -- once that would be distributed to shareholders as a special.
Sajal Srivastava: Correct, that's our intent to distribute capital against these special dividends.
Matthew Howlett: Great. Thanks guys. Congrats.
Sajal Srivastava: Thank you.
Operator: Your next question is from Andrew Kerai with BDC Income Fund. Your line is open.
Andrew Kerai: Yeah. Hi good afternoon. And thank you for taking my questions. I want to talk about core add for a second if I can. I know you guys have already had a couple of questions about that loan and you said it's an ongoing story and that as well. So, obviously, looking at back at the 930 [ph] numbers and I can obviously take a look at the K, once it's filed as well. Marking about $15 million at par, it was obviously been downgraded to category five and I know you've certainly given commentary that its ongoing discussion and there's been certain asset put up for sale, your loans is going to be taken out and all that. I mean if you had to mark that asset today, so assuming we fast-forward two weeks to 331, where does mark fell to $15 million, it seems like you had it as of 12/31.
Sajal Srivastava: Correct, so we did mark it down as of 12-31 based on the downgrading from white to yellow. At this time, -- I'm sorry?
Andrew Kerai: Don't. Sorry.
Sajal Srivastava: At this time I think given there's a situation, I don't think we can provide a guidance at this time in terms of what the actual mark will be. I think as the process develops, then we'll provide an update on where our mark will be.
Andrew Kerai: Okay sure. Fair enough. And then just wondered I guess some more broader market commentary. So, one of your internally-managed competitors is kind of given some color that there are some new entrants seen on this space, maybe without as much experience, I guess maybe a case and point that I think of. There's about BDC is $3 billion, BDC a tad, its recent struggles certainly struck it, had in the middle market, excuse me, in the venture lending about -- call it five, six quarters, right. So, obviously, I wouldn’t trust BDC to underwrite a sponsor loan, much less a venture debt deal, I don't think they have the expertise. So, we're seeing something like that and I expect there are other entrants out there that probably don't have the experience or, don't have the team that you guys or couple of others do. Have you seen an evidence of potentially distress to venture that out, anything wide that do you think might represent an opportunity to buy-up, call it poorly underwritten paper enough the discount for you and your workout team that kind of go in and potentially realize some upside there.
Sajal Srivastava: You know Andrew that's a little foreign to us, at least in the circles and companies and investors we've been working with. So, I'm not aware. I don't know if anyone else is aware of that kind of opportunity or that going on. But we just stick to our select investors and the high quality portfolio companies that we always have and always will at venture lending and that's news to the management team. But it's nothing we never look at, get involve with and right now, I haven’t heard of anything like that.
Andrew Kerai: Great. Thank you. Appreciate the color. And congrats on a strong three quarters up in the gate here.
James Labe: Thank you.
Sajal Srivastava: Thanks.
Operator: And there are no further questions at this time. I'll turn the call back over to Mr. Labe for any closing remarks.
James Labe: Okay. Thanks. I'll close by again expressing my appreciation to all of you for your continued interest and support in TriplePoint Venture Growth, TPVG. We're going to continue to build our franchise and portfolio in order to meet growing market demand and deliver these attractive returns to you. We look forward to talking with you again soon as we continue to execute on this growth strategy. Thank you.
Operator: Ladies and gentlemen this concludes today's call. You may now disconnect.